Operator: Thank you for standing by. This is the conference operator. Welcome to the Eldorado Gold Corporation First Quarter 2020 Conference Call. As a reminder, all participants are in listen-only mode, and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Peter Lekich, Manager, Investor Relations. Please go ahead, Mr. Lekich.
Peter Lekich: Thank you, operator. And thank you, ladies and gentlemen, for taking the time to dial into our conference call today. With me in Vancouver this morning are George Burns, President and CEO; Phil Yee, Executive Vice President and CFO; Joe Dick, Executive Vice President and COO; Paul Skayman, Special Advisor to the COO; and Jason Cho, Executive Vice President and Chief Strategy Officer. Our release yesterday details are 2020 first quarter financial and operating results. This should be read in conjunction with our first quarter financial statements and management's discussion and analysis, both of which are available on our website. They've also been filed on SEDAR and EDGAR. All figures discussed today are U.S. dollars, unless otherwise stated. We will be speaking to the slides that accompany this webcast. You can download a copy of these slides from our website. Before we begin, I'd like to remind you that any projections included in our discussion today are likely to involve risks, which are detailed in our 2019 AIF and in the cautionary note on Slide 1. I will now turn the call over to George.
George Burns: Thanks, Peter. And good morning, everyone. Here's the outline for today's call. I'll give an overview of Q1, along with some comments, then I'll pass it along to Phil for financials. Joe will follow by reviewing operational performance, then we'll open it up for questions. Before getting into things, I want to take a moment to recognize the ongoing and considerable efforts all of our global teams have had in managing our business during the COVID-19 pandemic. Our overarching priority each and every day is keeping our people safe. I've witnessed a huge amount of collaboration across Eldorado as we put in place new protocols that mitigate the risk to our people and prevent the spread of the virus. I'll talk some more about these later. But for now, I'd like to express my deep appreciation and gratitude to our teams for looking out for one another and maintaining business continuity during these unprecedented times. In light of COVID-19, operational performance in the first quarter was exceptional, with production of approximately 116,000 ounces. This was consistent with Q4 production rates, but slightly below 2020 plan, due to rainfall in Kisladag and curtailed operations at Lamaque, as a result of government-mandated restrictions. We expect quarterly production to increase going forward, as a solution is processed at Kisladag and operations have already resumed at Lamaque. Costs were marginally higher than expected due to fewer ounces produced during the quarter and lower silver and base metal prices. We're expecting our cost to be lower over the remainder of the year. We delivered two key catalysts this quarter, including extension of mine life at Kisladag and receipt of expansion permit for underground production at Triangle. Also of note was improved production rates at Olympius, which resulted in the mine's highest production and over a year. At this time, we are maintaining guidance for 2020 of 520,000 ounces to 550,000 ounces of gold at an all-in sustaining cost of $850 to $950 per ounce sold. We will continue to evaluate capital allocation, operational performance, and monitor the impacts of COVID-19 on our business. As I mentioned earlier, we effectively maintained business continuity in light of the global pandemic. Our operations in Greece and Turkey continued throughout the quarter, and Lamaque is now back online. As the spread of the virus increased, we activated a global COVID crisis management team, which identified risks to the business. In addition to implementing safety protocols across our sites, the company was proactive in drawing $150 million from its credit facility. We do not see an immediate need for these funds, but are looking to ensure the company has sufficient cash on hand. With approximately $400 million in total liquidity at quarter end, Eldorado is well capitalized and positioned to maintain its strategic goals as we begin paying down our term loan in June of this year. Here on Slide 5 are some of the global operating controls we have put in place across our sites. Our main focus has been on training and compliance, including physical distancing, and personal hygiene in order to keep our people safe. We have worked closely with governments to ensure we have all necessary protocols in place. We have also collaborated with industry associations and peers to share best practices. We continue to consider ways in which we will be able to further protect our people and limit the spread of the virus. Our sites are currently operating at 75% normal staffing levels, as employees considered to be at high risk have been asked to stay at home. We do not expect this to affect production in the near term, but are reviewing the potential longer-term impact of certain discretionary activities such as waste stripping, underground development, and drilling are temporarily reduced. We will continue to track the situation closely, interactively working with sites to transition back to normal staffing levels. Here on Slide 6, we highlight how we've been working with and supporting local communities during COVID. To date, we have donated approximately $0.5 million towards local emergency response efforts. In Greece, we have helped procure critical medical equipment for hospitals in Thessaloniki, and Halkidiki regions. In Turkey, we've helped in providing health services, supplies, and information to local communities. And in Quebec, we've donated to the Val d'Or Hospital Foundation, and helped the local food bank and other vulnerable groups. In each jurisdiction, we have worked with local communities to ensure this funding has the greatest impact and supports their long-term resilience and recovery. That's it for me. Over to you, Phil.
Philip Yee: Thank you, George. Good morning, everyone. Starting on Slide 7, I will provide an overview of Eldorado's financial results for the first quarter of 2020. Eldorado generated $204.7 million in total metal revenue in the quarter. This includes $183.7 million in gold revenue, and is an increased 156% with the comparative quarter in 2019. This significant increase in revenue resulted from higher gold sales volumes of 116,219 ounces, compared to 43,074 ounces in the first quarter of 2019. The increase in revenue also reflects the higher average realized gold price in the first quarter of 2020 at $1,580 per ounce, compared to $1,265 per ounce in the comparative quarter in 2019. The company reported adjusted net earnings for the quarter of $12.5 million or $0.08 earnings per share, a significant improvement over the first quarter of 2019, adjusted net loss of $21.1 million or $0.13 loss per share. Adjusted net earnings in Q1 2020 removes items not reflective of the underlying operations of the company, including a $12.2 million loss on foreign exchange related to translation of deferred tax balances, and a $4.4 million loss on a non-cash revaluation of a derivative related to redemption options on the senior secured notes. Prior to these adjustments, the company reported a net loss to shareholders in the first quarter of $4.9 million or $0.03 loss per share. This was a significant improvement over Q1 2019, and reflects higher depreciation charges, higher expensed finance costs, and increased tax expense in Q1 2020. EBITDA for the quarter was $84.7 million, and adjusted EBITDA was $90 million, a material improvement over EBITDA of $4.9 million and adjusted EBITDA of $12.5 million in the first quarter of 2019. Adjusted EBITDA removes certain non-cash items, as well as a $1.1 million charge of mine standby costs incurred at Lamaque during the government-mandated suspension of operations in the last week of March. Appreciation and amortization increased to $52.4 million in the first quarter from $20.2 million in the comparative quarter in 2019, reflecting higher production and sales volumes in 2020. Expense finance costs were $16.2 million in the first quarter of 2020, compared to $7.3 million for the comparative quarter in 2019. This increase was primarily due to a change in accounting for interest, starting in Q2 of 2019, as capitalization of interest ceased following the commencement of commercial operations on Lamaque in April 2019. Income tax expense for Q1 2020 amounted to $21.4 million for the quarter, compared to $6 million in the comparative period of 2019. The significant increase was a result of higher sales volumes in Q1 of 2020, leading to higher income tax on operations in Turkey, and higher provincial mining duties for Lamaque. Deferred tax expense of $2.8 million in the quarter included $12.2 million of expense arising from the significant weakening of certain currencies in which income tax is paid, and this was partially offset by deferred tax recoveries related to timing differences, primarily in property plant equipment.  Eldorado reported $53.3 million in net cash generated from operating activities in the first quarter. This was a significant increase from the first quarter of 2019, which reflected the usage of cash for operations of $600,000. With our continued strong operational results, the first quarter of 2020 also represented our fourth consecutive quarter of positive free cash flow, since Lamaque commenced commercial production on April 1, 2019. We finished the quarter with approximately $400 million in available liquidity, of this, $364 million was in cash, cash equivalents, and term deposits, and includes $150 million in proceeds from the March 30 draw on our credit facility, which was completed as a proactive measure in light of uncertainty regarding the COVID-19 pandemic. Approximately $36 million remains available under the $250 million revolving credit facility. Approximately $64 million of this facility is allocated to secure certain reclamation obligations in connection with our operations. I will now turn it over to Joe for a recap of operations.
Joe Dick: Thanks, Phil. And good morning, everyone. Here's a quick summary of our quarterly operating results. As George mentioned, we produced 115,950 ounces of gold in the quarter at cash operating costs of $627 per ounce sold, and all-in sustaining costs of $952 per ounce sold. This was consistent with Q4 2019, but slightly below current plan. Looking forward, we are maintaining our 2020 guidance at this time. We have not observed any negative productivity impacts of results of COVID-19, but we are continuing to monitor the situation. We have seen a reduction in our workforce of approximately 25%, as some workers who are considered to be high risk to COVID-19 have been asked to stay at home as a precaution. This has led to a reduction of certain discretionary activities at our sites, and has affected underground development and waste stripping out of Olympius and Kisladag, respectively. Here on Slide 9, we have some further color on the quarter at each of our operations. At Kisladag, as George mentioned, we had increased rainfall during the quarter. This led to increased solution volumes and impacted our production. The amount of gold that was leached into solution was in line with tons of waste, and we expect to recover this gold in the coming months. At Lamaque, we had a very good quarter, despite having to temporarily move the mine into care and maintenance on March 23 to comply with restrictions, as mandated by the Quebec government. The Quebec government has since declared mining operations an essential service, and we put Lamaque back into operations on April 15. We lost about three weeks of production there, but we are confident that we can make up for this over the remainder of the year. I'd also like to note that at Lamaque, we have initiated testing of a mechanized mining system called Minrail for extraction of shallow dipping structures. Current resources potentially minable with this technology are estimated at 160,000 tons at an average grade of 9.16 grams per ton. We expect to have results on Minrail tests during Q3. Commercial success of Minrail could support increased exploration opportunities to expand resource and gently dipping vein systems common to the Lamaque project area. Efemcukuru was once again consistent with our expectations. Production was lower compared to the fourth quarter, due to lower grade mines so far this year. We did manage to offset this a bit by increasing the amount of tons put through the mill. And finally, at Olympius, I'm pleased to report that we had our highest gold production in 18 months. This was a result of the work we have completed on underground development and improvements to the pace backfill system. That said, unfortunately, Olympius had a poor quarter from a cost perspective. Low base metal and silver prices, as well as higher treatment charges, led to increased cash operating costs and all-in sustaining costs. We will continue to drive operational improvements and look to lower costs as the year progresses. Over to a quick update on some of our projects on Slide 10. At Kisladag, we're continuing waste stripping, though at a reduced rate. We have also selected a vendor for the HPGR, and expecting delivery of that unit late this year. At Lamaque, we are continuing technical work to increase production from Triangle, and we now have the permit to increase underground production up to 2,650 tons per day. We intend to increase our mining rate to roughly 2,200 tons per day, which is the current capacity of the Sigma Mill. As a reminder that --this expansion requires no incremental capital investment. It simply accelerates underground development in the current plan. Eldorado will continue to study and optimize the Triangle deposit. We'll focus on the decline of Triangle deposit to the Sigma Mill, and we'll also look at de-bottlenecking the mill, and long-term paving solution to enable us to go beyond 2,200 tons per day. At Efemcukuru, construction of the flotation columns is underway, as you can see from the picture. Once these are completed and commissioned, which is expected in the second half of the year, we will able to further increase the quality of our concentrate, which reduce our treatment charges. And finally, over to Skouries. Early in the quarter, we mobilized crews to commence site protection work. We place concrete at the mill building to protect the rebar that was installed several years ago, and we had planned to install the mill building, but that work has now been postponed due to COVID-19.  With that, I'll turn it back over to George for closing remarks.
George Burns: Thanks, Joe. Perhaps a few words on Greece before wrapping up. The COVID-19 pandemic has diverted both our own and the Greek government's attention, leaving limited time to discuss advancement of our investment. However, we look forward to continuing negotiations and remain committed to developing our assets in Greece safely and responsibly for the benefit of our investors and the Greek people. Eldorado's assets in Halkidiki have the potential to be economic engines for Greece, creating high-quality jobs, increasing tax royalties and export revenues for the country, and providing an additional revenue stream to help mitigate the economic impacts of COVID-19. The safety of our people, their families, and our local communities is always top of mind. As we look forward to the remainder of the year, we will continue to adapt our new normal while focusing on delivering our objectives. Thank you, everyone. I will now turn it over to the operator for questions.
Operator: Thank you. We will now begin the question and answer session. [Operator Instructions] Our first question comes from Cosmos Chiu with CIBC. Please go ahead.
Cosmos Chiu: Hi, thanks, George, Phil, and Joe. My first question is -- I guess overall, good to see that you've maintained your production guidance for the year 2020. But, George, as you also mentioned, you're currently running at about 75% of normal levels. How much of that have you factored into maintaining your guidance, production guidance, for 2020? And then on top of that, George, as you also mentioned, some discretionary items you might not be spending on right now. And you talked about potentially, you know, long-term impact here. In terms of long-term impact is that 2020, or we talked about 2021?
George Burns: Thanks for the question, Cosmo. So on our 5-year outlook, I would say that we've had limited impact and we're still committed to that 5-year guidance. Obviously, if the reduction in stripping and development were to continue, we'll have to reassess that day by day. As we stated, we are currently focused on how to get our manpower levels back to normal, and believe we will be successful in that endeavor. In terms of what it means, I mean, I -- I'd say that the first one would be Kisladag; if you look at -- we're not moving all the waste right now that we had planned, the impact to-date won't impact the 5-year guidance. And one of the reasons is, we've been able to re-optimize the next two phases; so recurrently mining Phase 3 to feed the crusher, there is a Phase 4 and then a Phase 5 pushback that are part of the 15-year mine plan. What we've done is, we've shrunk Phase 4 a bit, which allows us to get down to ore quicker. And it better optimizes the use of the truck fleet and stripping over the life of mine; that gives us a bit of a cushion to mitigate some of the issues we're currently dealing with lack of truck drivers. So that gives us some comfort. On the development side for underground mines; obviously, you have to do the development to get the phases opened up into the future. Again, here I'm confident our teams will find ways to get our workforce back to normal, and our develop where we're needed to be. So, at this point I'm pretty comfortable the way we've managed COVID to-date and believe we'll work through issues over the coming weeks and months to get back to normal.
Cosmos Chiu: For sure. And then, maybe more specifically on Lamaque here, you know, how -- any challenges in terms of getting it back up and running since restarting on April 15? And then, on top of that I believe before COVID-19, before the shutdown, you were running at about 1600 tons per day; are you back to about those levels? And Joe, as you talked about, you're aiming for getting to about 2200 tons per day in Q2; can you may be elaborate on how you're going to get there? And can you do that even as you run at about 75% of normal levels?
George Burns: Go ahead, Joe.
Joe Dick: So, first off, at Lamaque the development went very well in Q1 and we finished Q1 ahead on development schedule, even though we lost the last week of the quarter. And as for the ramp-up, we have ramped up fairly quickly. It took us roughly from the 15th until about the 20th to get the mills turning. And since we have been able to feed [ph] the mills at close to 2000 tons a day, so that early development and -- you know, kind of being prepared and knowing that this potential permit was coming, we were working hard to ramp development up in advance and be prepared; so things have gone well in the Lamaque restart, and in the continued growth at Lamaque.
George Burns: And I might just supplement those comments, Cosmos. On the mill, we had a planned maintenance for the mill, and we basically, since it was already down took advantage of that opportunity. And I think it's another example where our team's quickly rallied around the restart, got the planned maintenance completed and the mill back up and running; so hats off to our team there.
Cosmos Chiu: And then, as you mentioned, the MD&A, Lamaque grades were lower, but as expected as you targeted some of the lower grades stopes; the head grade was 6.05 gram per tonne. Could you give us a bit more insight into what we should be learning for for the rest of the year?
Joe Dick: Cosmos, this is Joe. Part of the issue with lower grades was higher development tons, which were typically at lower grades; so that was somewhat expected and then towards the close of the quarter we didn't get knocked out the higher grade stops at the end. As the year progresses, grade will recover but we're likely to stay a bit below original plan due to that increased development.
Cosmos Chiu: Great. And then, maybe one last question for Phil. As you talked about Phil, taxes based on compared to my model they were quite high in Q1; $21 million under earnings, that were $15.9 million. I think you touched on it in terms of higher revenue from Turkey and what-not, but it would still worked out to over 100% of earnings as taxes. I think a bit of it might have been adjusted out for the adjusted earnings but I don't know exactly how much. I'm just trying to get a better handle on how I should look at the rest of 2020.
Philip Yee: Thanks, Cosmos. So for taxes, Cosmo, the only factors that affect the current income tax expense is the corporate income tax in Turkey, and the Quebec mining duties in Quebec. And Turkey right now with Kisladag ramping up, we're expecting a higher production this year, especially in comparison to last year. So the income tax rate in Turkey -- just trying to -- I think it's -- I'm just trying to find the effective rate here, but -- I think it's going to be proportional really with the increase in production in both, Kisladag and Efemcukuru, my perspective.
Cosmos Chiu: Okay. Yeah, because -- I think based on my numbers, your earnings today missed consensus, in part due to taxes. So I just want to get a better handle on taxes to forecast Q2, Q3 and Q4.
Philip Yee: Yes. So for Turkey, I mean the total income tax expense is $18.7 million, $17.7 million of that was from Turkey. And [indiscernible] it was $1 million, and that's -- again, if you work out the effective tax rate, I think it's around 33%.
Cosmos Chiu: Perfect. Thank you. Those are the questions I have. Have a good weekend and stay safe.
Philip Yee: Okay. Thanks, Cosmo.
George Burns: Thank you.
Operator: [Operator Instructions] Our next question comes from Kerry Smith with Haywood Securities. Please go ahead.
Kerry Smith: Thanks, operator. Joe, just a follow-up on triangle; how long do you think it will take you to get the development in place to be able to get to 2200 tons a day? Do you think you can get there by year-end?
Joe Dick: I think we'll be closer to year-end, I wouldn't guarantee 2200 but I think we'll be very close.
Kerry Smith: Okay. And that wouldn't assume any benefit from the mineral thing, right, that would just be conventional?
Joe Dick: That's just conventional. The Minrail -- we got it installed in Q1 and we'll look to do testing in Q2, and then kind of evaluate economics in Q3. I think, in total there is roughly 20,000 tons if that -- in the Minrail test plan.
Kerry Smith: Okay. And one, maybe I'm not sure that this question would be best for, but there is the updated results that you plan to put out on parameter, the updated capital and operating costs. When might we see that? It sounds like it's going to be finished this year; is that something that we'll see in maybe the Q3 results or what would the timing be?
George Burns: So, it's probably something we'll talk about in Q4, should we complete the work in Q3 and then talk about it in Q4.
Kerry Smith: Okay. So it wouldn't be necessarily in the Q4 call, which would be this time next year, kind of, what -- next February, it'd be sometime later this year then; is that right, George?
George Burns: Yes, I would say late this year.
Kerry Smith: Okay, okay. And the standby costs that you incurred at Lamaque, Phil were about, it was -- I think slightly over $1 million for the last -- whatever it was, six or seven days of March. Was that -- were there just some large numbers in there? I'm just wondering what the cost might have been through to the startup in -- on April 15? I don't think I want to sort of normalize that $1.1 million, but I'm just wondering what the number might have been.
Philip Yee: Yes. That $1.1 million Kerry, was really from March 24 to March 31. So you could probably extrapolate that; that was for one week. So for the next two weeks until April 15, I would -- it's probably safe to proportionalize that and just say, it'd probably be $2.2 million.
Kerry Smith: Okay. Right, okay. And then -- and then, maybe the last question if I could. You talked about not having enough manpower to do some of the pad maintenance at Kisladag, just because you've got about 25% of your workforce that's not able to work. Could you bring in contractors to do that work or how are you thinking about sort of trying to address that situation so it doesn't impact your production in the longer term?
George Burns: I mean, that's one alternative for sure. But the best scenario is putting additional measures in place to protect the health of the employees that happens in coming to work, and that's priority one. And I guess, if that's not completely successful, we could look to bring in some temporary workers till COVID evolves to a better place.
Kerry Smith: Okay. And George, when do you have to get back to normal manpower levels at Kisladag and get back to stripping at the rate you had budgeted so that doesn't impact the mine plan even though you did sort of reject that Phase 4 plan?
George Burns: It's tough to give you an exact, but I would say during this quarter, we'll be assessing that. I'm hopeful we can get back to normal levels in Q2, or close to normal levels. And I think we can absorb all that due to the discussions I had on -- a little while ago on phase four stripping. If it persists beyond that, we'll have to run schedules and forecasts to see the impact and then update the market on our output. But I'm -- sitting today, based on what we know, we're feeling pretty optimistic. We'll get through this without an impact.
Kerry Smith: Okay, great. Thanks very much.
Operator: Our next question comes from Tanya Jakusconek with Scotiabank. Please go ahead.
Tanya Jakusconek: Yes, good morning, everybody. Kerry asked quite a number of my questions. I just wanted to make sure I understood on the Kisladag that -- George, you mentioned that we're hoping to get back to that 100% capacity or close there in Q2 so that we don't impact the guidance for 2020. Is that correct? Did I understand it correctly?
George Burns: No, for 2020, we're okay. The stripping won't impact 2020. We are moving all the ore and waste in phase three and removing a great deal of the waste in phase four, just not everything we planned currently. So the issue of getting back to normal attendance and manpower levels is about stripping waste for the five-year plan, not for 2020. And, again, there's work to be done to sort out how we can put additional protection in place for those employees. But believe we can get there.
Tanya Jakusconek: Okay, so I understand, so 2020, even if we operate with 75% of employees at Kisladag, you're comfortable with the 2020 guidance? It's that 75% going beyond the five-year plan?
George Burns: Yes, correct. So 2021 and beyond could get impacted if stripping does not presume the normal pace.
Tanya Jakusconek: Okay, so when you say 2021 and beyond, you're talking it could impact when 2021 -- all those years? I understood it beyond the five years, but it's 2021?
George Burns: Yes, 2021. The 2025, say, is potentially a risk. If you look at the Kisladag plan, we've got five plus years, five, six years of stripping, at which point our truck requirements drop off substantially. So what we've done with this re-sequencing is we've made phase four a bit smaller, we get or quicker. That's mitigating, to some degree, the stripping issues we're currently experiencing. And so, without getting that waste moving, there could be some impacts in 2021 and beyond. And that's why we're working hard to come up with ways to get all the trucks moving again.
Tanya Jakusconek: Okay. And then, just maybe on -- looking at what's happened with COVID and all of the spatial, the social distancing, some of the other measures that you've had to implement, the new health and safety, do you have an understanding of some sort of range of what that has had an impact on the cost structure? And have you been able to offset in and other ways? I'm just trying to understand whether this is going to have impact longer-term on the cost structure. Are we at a new level? 
George Burns: I'll maybe answer at a high level, and Joe can add any detail. So, at a high level, we're not seeing any cost impact. We're obviously using a lot more PPE than normal, but that's minutiae in the scheme of things. And there's lots of habit changing that has to happen amongst our workforce to maintain that physical distancing and to have appropriate hygiene. So equipment operators between shifts and the like, they're doing a lot more cleaning than we would have in pre-COVID era. But the impact that's having on cost, I mean, we don't see it, and can't measure really any impact to date. And I think that's probably going to be the case moving forward. So as Joe said, we're not seeing any measurable change in productivity. And to me, that's the key issue. If these control controls start lowering productivity, that obviously would then have an impact on cost and cost per ounce. But to date, we're not seeing any material change there. And it's really about the quality of our people adapting to these new risks, and everybody's motivated to keep themselves and their co-workers safe, and at the same time, maintaining the health of our business, because we all rely on it. So again, I think the collaboration has been fantastic. And to date, we haven't seen any material impact on our costs that we can speak to. Joe, I don't know if you had any color around that.
Joe Dick: I think a couple of points, George, one of them being there's been some positive offsets. We've done a lot of task observation, which means getting out and looking at the work with teams. And that alone has maybe made some of our work more efficient. Even though you have the distancing, I think the engagement and interaction with kind of the leadership and teams in the field has kind of helped us a bit. And I think we can look to some other things, there's lower fuel prices and some other offsets that for any increases we're seeing, we're likely seeing some offsets as well. So I think we'll continue to look at those impacts over time and be able to better quantify them. But qualitatively, so far, we're managing to maintain productivity levels pre-COVID. 
Tanya Jakusconek: And you touched a little bit, Joe, on opportunities. You talked a little bit about better engagement or more efficient engagement. Are you seeing other opportunities as you look at your operations that this whole change of workplace has brought to your attention?
Joe Dick: Well, I think it's early days in that, but yes, we are I think. We're working on kind of the tracking that we might do for potential management of any outbreak on site, is also helpful in kind of managing work and people's proximity to work. So, it's a little different environment, and we're early days and kind of figuring out how to take advantage of that. But I think there's opportunity in that, yes.
Tanya Jakusconek: Okay, look forward to hearing about that. 
George Burns: It's a pretty good example. I mean, we've got tagging and tracking of equipment at most of our underground mines and obviously in our pit Kisladag, but haven't put the energy into surface facilities. And with COVID, we believe this is a huge mitigation factor. And as we deploy that in Q2, there's going to be some benefits come out of further investing in that sort of technology. And the other thing I'd say, just at a high level, I mean, it's changing the way we approach everything, even on the management side. We're not traveling to our sites, but we are leveraging the technologies that we've put in place the last couple of years. And I've been -- well, I'm of the belief right now our communication's actually better. I mean, our days are longer. There's a lot of stress around what's happened here, globally. But I think we're getting better at communication and teamwork. So, it's an odd positive consequence, but we're going to learn a lot from this whole event, and we'll keep the good things with us and improve our business as a result.
Tanya Jakusconek: That's good to hear. Thank you so much.
George Burns: Thank you.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. George Burns for any closing remarks.
George Burns: Thank you. Again, I'd like to thank all of our employees and partners for their ongoing support during these unprecedented times. Look forward to catching up with everybody in the next quarter. Stay safe and stay healthy, everyone. Thank you.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.